Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the RiceBran Technologies Second Quarter 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host, Mr. Richard Galterio of Ascendant Partners. Please go ahead.
Richard Galterio: Thank you, operator. Good afternoon, listeners. Once again welcome to RiceBran Technologies’ second quarter 2020 financial results conference call. With us today, are Brent Rystrom, Chief Executive Officer and President of RiceBran Technologies; Todd Mitchell, Chief Financial Officer and Peter Bradley, Executive Chairman. Before I turn the call over to Brent, I want to remind listeners that during the call, management's prepared remarks may contain forward-looking statements that are subject to risks and uncertainties. Management may make additional forward-looking statements in response to your questions today. Therefore, the Company claims protection under Safe Harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from results discussed today, and therefore, we refer you to a more detailed discussion of these risks and uncertainties in the Company’s filings with the SEC. In addition, any projections as to the Company’s future performance represented by management include estimates as of today, August 12, 2020, and the Company assumes no obligation to update these projections in the future as market conditions change. This webcast and certain financial information provided in this call, including reconciliations of non-GAAP financial measures to comparable GAAP financial measures are available at www.ricebrantech.com on the Investor Relations page. At this time, I would like to turn the call over to Brent Rystrom, CEO and President of RiceBran Technologies. Mr. Rystrom, please go ahead.
Brent Rystrom: Thank you, Rich, and good afternoon, everyone. RiceBran Technologies faced several challenges in the second quarter of 2020 related to the COVID-19 pandemic. Initial fears of inadequate food supplies caused a surge in demand for rice as consumers engaged in widespread pantry stocking.  This demand accelerated milling for several months, which caused shortages in the supply of paddy rice, the rice that comes into rice mills as a raw material which drove prices from $12 per 100 weight in early 2020 to a peak that was over $23 per 100 weight in late May and early June. The higher prices and reduced supplies impacted our ability to operate at Golden Ridge, especially in the back half of the second quarter. The shutdown of much of the economy due to COVID-19 restrictions also slowed new customer development, as most of the prospective customers we were pursuing shut down product development and research labs. In fact, many of them are still closed. In spite of this, we were able to add new customers in equine, pet food and human products in the second quarter. And after weakness in the beginning of the year, we have seen remarkable increases in demand for products from our derivative facility in Dillan Montana, which should have a favorable impact on results in the second half of 2020 and into 2021. As a result of these top-line challenges, financial results for the second quarter were weaker than we expected with adjusted EBITDA losses of $2.9 million, compared to losses of $2.8 million in the second quarter of 2019 and losses of $2 million in the first quarter of 2020.  As we move into the second half of 2020, the current rice crop looks excellent. Louisiana had completed about 50% of its rice harvest as of last Sunday, and the crop looks to be large, and of high quality. This bodes well for our stabilized rice bran facility in Mermentau, Louisiana. The rice harvest will probably start in the Arkansas in a few weeks, and the crop there also looks large and of high quality. This should provide significant benefits to Golden Ridge in wind, Arkansas. Reflecting this large and healthy crop, rice prices are now trending sharply lower with the price for September rough rice futures contracts presently near $11.70 per 100 weight.  I would like to close my comments by noting that Friday of this week will be my last day as CEO of RiceBran Technologies and that Peter Bradley will succeed me as Executive Chairman of the company. I will be available to Peter and the rest of the management team for several months to assist in his new role and look forward to watching the progress.  We’ve built a valuable platform at RiceBran Technologies and Peter is well positioned to lead our company and it’s to maximize that value. His strong senior management and sales leadership background, in a highly successful ingredient companies will be invaluable in helping us expand the opportunities in our high-margin ingredient business to drive future growth.  Peter joined our Board in 2019 and since then, I have had the opportunity to see skills and capabilities that I believe will serve RiceBran well in the future.  In closing, I would like to thank the leadership and employees of RiceBran Technologies for all their efforts, while I was with the company, especially this year with the economic and COVID-19 impacts. Peter will now provide some introductory thoughts and then, Todd will give the financial report. Peter, please go ahead. 
Peter Bradley: Thanks, Brent. Firstly, on behalf of the Board of Directors, myself, particularly I would like to thank Brent Rystrom for his contribution and commitment to RiceBran Technologies in challenging circumstances, none more than the disruption caused to the business by the COVID pandemic. We all assume every success in your future and your continued contribution during this transition period.  Having spent the better part of my career in the ingredients business, I firmly believe RiceBran and its derivatives in particular deliver excellent nutrition and functional benefits and a wide range of products, either for human food, or companion animal or equine feed systems. That is what drove me to drive to join the Board of Directors back last year and what compels me to have taken the helm of the company at this time.  Unlike crops such as soy, corn and wheat, rice derivatives are being underutilized in food processing, which represents a compelling opportunity for the company. But in order to understand and realize the potential of the platform we have built, our first order of business is to conduct a strategic review of all of our business and implement sound action plans to maximize shareholder value as we work through this process as Todd will expand upon later on the call.  A proper review will ensure we have the right product technologies, produce using the optimum assets supported by a robust supply chain. This will ultimately enable us to chart the best course for our company and its shareholders.  I will now pass the call over to Todd, who will provide you further detail. 
Todd Mitchell: Thank you, Peter. As Brent highlighted, the past few months have been very challenging for us. This COVID-19 pandemic created dislocations that led to rapidly escalating rice prices, and in turn, shortages in rough rice supply.  However, we’ve built a valuable asset infrastructure over the past several years. And like so many other companies, the challenge we have faced recently have prompted us to look in work to review, and to build upon our strengths, while striving to mitigate our weaknesses. This has hardened our resolve to transform RiceBran Technologies into a stronger, more nimble, more competitive and more profitable company. And because of this process, I think you’ll see a lot of changes, changes for the better in the coming months.  You'll note from our press release, that we have identified a host of structural changes, which should reduce our overall cost structure by another $2 million annually and better align costs to the current operating levels.  You’ll also note that we’ve engaged BMO Capital Markets to review our strategic options, help us maximize the value of our assets and to better pursue opportunities in our higher margin ingredient businesses.  Ultimately, this is a process of driving to the core values that will make it a successful company for all of our stakeholders.  Going forward, we are going to stride to be a company that executes flawlessly, whether it be in satisfying our customers or running our mills.  We are going to strive to be a company that does more with less, will strengthen our ability to make and deliver on our customer commitments while streamlining our operations, we use technology and tools to work smarter and do it with fewer people and we’ll be a company that generates solid positive gross margins and ultimately positive EBITDA and free cash flow. And when we do, we will generate significant value for shareholders.  Now let me take you through the numbers for the quarter with a little color. Revenue, total revenue in 2Q was $5.9 million, down from $8.3 million in 1Q and $6.2 million a year ago. The decline in total revenue in 2Q from 1Q reflected a significant drop in revenue from Golden Ridge, which as we highlighted slowed production for about six weeks due to an inability to acquire rough rice at economical prices.  Results were also impacted by an expected seasonal drop in revenue from MGI. Lower revenue from Golden Ridge and MGI in 2Q vis-à-vis 1Q was offset in part by a sequential increase in RiceBran revenues. That being said, the year-over-year decline in total revenue reflected a drop in RiceBran revenue, but to a far lesser degree than in 1Q.  In 1Q we saw a few large customers for our product in human consumption pulled back due to their own challenges. In 2Q, we saw strong demand for animal feed customers and we actually added a few new human grade customers. Human grade business was still far from strong in 2Q, but with the addition of new human grade customers, we expect it to pick up in the second half of the year significantly. Gross profit. Total gross losses were $1.2 million in 2Q, compared to gross losses of $405,000 in 1Q and gross losses of $244,000 a year ago. Total gross losses increased in 2Q from 1Q due to lower gross profits from RiceBran and MGI, while gross losses for Golden Ridge were roughly flat with 1Q levels.  The year-over-year increase in total gross losses was due to lower gross losses RiceBran and a year-over-year increase in gross losses from Golden Ridge. Versus the prior quarter, lower gross profit contributions from MGI was purely volumetric, while the drop in RiceBran's gross profits mirrors the shift in mix towards lower margin animal feed customers.  With the strengthening in demand for products for human consumption expected in the back half of the year and strong volumes from Golden Ridge and MGI, this trend should reverse itself pretty significantly.  SG&A. Total SG&A was $2.6 million in 2Q, up modestly from $2.5 million in 1Q, but down from $3.4 million a year ago. Excluding approximately $300,000 in non-cash asset write downs, SG&A for the quarter was $2.3 million in line with our target for cost cuts for the quarter.  In 2Q, we challenged ourselves to rethink the structure of the company at its core. As a result, we believe we have a path which will allow us to take another $2 million in cost out of the business, with much of this money through SG&A. If we are successful with these initiatives, we should see SG&A in 2021 that’s roughly half of 2019 levels.  Net income and EBITDA. Net loss for 2Q was $3.9 million, compared to a net loss of $3.7 million in 2Q 2019. EBITDA losses of $2 million in SECOND QUARTER flattened a year ago, as reductions in SG&A have been offset by higher gross losses from operations. After adding back $394,000 in stock comp and other expenses, adjusted EBITDA losses were $2.9 million in 2Q, compared with $2.8 million a year ago. Liquidity. Finally, I wanted assure you that capital resources and operating with liquidity remain adequate. We ended the quarter with over $3.2 million in cash, and we added an incremental $2 million in borrowing capacity after the end of the quarter.  And importantly, as Golden Ridge rebounds in a more stable environment, we should be able to find significant additional liquidity in a higher borrowing base from our factoring facility and the ability to reinflate our commodities payable balance. In closing, as we move through the second half of 2020, we know we have significant opportunity to drive growth in our ingredients business, while we better align costs with operating levels. The challenges we face at Golden Ridge are moderating, and we expect the new rice crop to help us put things on the right track in 2Q.  We are also confident that the strategic evaluation of our business and the subsequent opportunities that will be identified from this analysis will help maximize value for our shareholders moving forward.  Operator, that concludes our prepared remarks. We may now open the call for questions. 
Operator: [Operator Instructions] Our first question comes from Marty Max [Ph].
Unidentified Analyst : Hello. 
Todd Mitchell: Hello. 
Unidentified Analyst : Hi. This is Marty Max speaking. Who am I speaking to?
Todd Mitchell: This is Todd Mitchell. 
Unidentified Analyst : Todd, this is Martin Max. I’ve spoke to Brent previously and I’ve spoken to Richard a few times over the years, and they are familiar who I am. I am a long suffering stockholder. Been with this company 16 years and I’ve listened to more conference calls and you have hairs on your head. And I cannot tell you how absolutely disappointing this call is. I mean, I don’t want to talk about colleges.  But the first thing I learned in Wayton, when we dealt with manufacturing and production, would you better have a damn good supply on hand in case things go bad? And why didn’t we have a supply of RiceBran?
Todd Mitchell: I think that our ability to source rice in the quarter was determined by the macro, as much as our lineup of having the future supply. I think when you saw the surge in demand, basically, the market goes up and it had been a lean crop and at the end of the quarter, we came up short on our supply and the prices that were aligned, were not economical for us.  We have subsequently moved into a strategy of putting a futures contract in that will give us a regulated price that we will go into every two months futures period. So it will have rice lined up and we will know our price on the short and on the long side going forward. 
Operator: Thank you. Our next question comes from Mark Kaufman, Third Day Associates [Ph]. Please go ahead. 
Unidentified Analyst : Hi. I was just wondering if you can comment about how the Golden mill is actually running now. I know it had some issues in the past. It’s up and running again. Any comments on that?
Brent Rystrom: Hey Mark, this is Brent Rystrom. We are starting to mill more actively and we are working through some of the latencies in rice. I’d say, so far, we are seeing some encouraging signs of how the mill is running, but we need some more data. We need a higher volume of rice, which we are hoping to see over the next couple of weeks. 
Unidentified Analyst : Is that the new priced rice, I guess, is one way to describe it?
Brent Rystrom: Not, not really. It’s kind of in between priced rice, if you think about it so, the next tranche of rice pricing is based off the September contract which basically as rice that come due in mid-September or it becomes available. And so we are kind of right now in a market that’s in between where that futures contract is and where rice was, say, 30, 40, 50, 60 days ago. 
Unidentified Analyst : How is the mix then between the better rice and let’s say the lower quality, if you have any comments on that? 
Brent Rystrom: Say that one more time. Sorry. 
Unidentified Analyst : The different qualities of rice that you get in as far as what you’d expect the yields to be. How is that looking? 
Brent Rystrom: No. The crop this year looks very good. So, the size of the crop, particular in Arkansas, it looks like it’s going to be up some place in the high 20s to the low 30% year-over-year growth in volume. So, size looks good.  Quality generally looks good. There is still some time yet before Arkansas gets harvested. And there are some things that can happen in the last few weeks, but it looks like it’s going to be a large and healthy crop. I am not sure if that’s quite what you are asking, Mark?
Unidentified Analyst : I think that is, I understand you have different shipments that should get in from on the raw rice, the quality varies. So, it’s good to hear. Thank you. 
Brent Rystrom: Thanks, Mark.
Operator: Next question comes from Mark Smith with Lake Street Capital Markets. Please go ahead. 
Mark Smith: Hi guys. Thanks for the update on the crops. Can you guys talk at all about the last handful of weeks really since the quarter ended through today where volumes have been like at Golden Ridge?
Brent Rystrom: They have been relatively minor, Mark. Essentially, as rice supplies got tighter and tighter, it became tougher and tougher to mill. As we are getting closer to the new crop being harvested, the grain companies and the farmers who are still holding grain are now actually starting to let some grain go, and we are seeing more and more grain being offered and the price is still little bit high.  And there is, it’s old rice. It’s not only is it ended the season from last year, but it’s also possibly rice that could be two seasons old. But we are definitely seeing more being offered, and the mill has been more active the last couple of weeks than it had been earlier. 
Mark Smith: Okay. And then, maybe for Todd, can you quantify at all, I think, you guys talking through little bit about some fees on some unfulfilled contracts. Can you quantify how big that number was? 
Todd Mitchell: In the second quarter, we paid about $200,000 to satisfy on delivery penalties on contracts we couldn't fulfill. 
Mark Smith: Okay. And is it safe to say that there is some continued penalties that continued into Q3?
Todd Mitchell: Yes, we will probably incur some more penalties as we go into Q3.
Mark Smith: Okay. And then, just as we look at customers, it sounds like there were some delays with current customers, as well as potential customers just as people kind of worked from home or enabled kind of kick tires and see facilities and rices. Is that a fair assessment? And then, how is that kind of new lead business looking today, maybe versus during the quarter? 
Todd Mitchell: I think…
Brent Rystrom: Mark, this is Brent. I was going to say, Mark, from a customer perspective, we had a lot of things we are working on January into February and by March, most of the saw customers that we are working with – send most of the corporate staff home and shuttered their R&D and their product development facilities or at least minimized activity there. Some of them are coming back in and getting active, but others are still out and it could be months or longer before we see that fully return to normal level of activity. 
Mark Smith: Okay. And then, the last one from me, I don’t know if, Peter, if you want to take this or if you can or want to comment on it at all, but just as we look at this strategic review process, can you tell us, is there anything that’s really not on the table here including asset sales or even a sale of the entire company? 
Peter Bradley: I think, we are really early into the process and we’ve not come to any conclusions. But as we stand today, there is nothing that’s not on the table. 
Mark Smith: Okay. Great. Thank you.
Operator: Next question comes from Paul Sonz with Sonz Partners. Please go ahead. 
Paul Sonz: Hi. This is a variation on what was just asked. First of all, how much you are going to pay BMO for this strategic review? 
Todd Mitchell: I think, our engagement is based upon outcomes. 
Paul Sonz: I see. And in terms of – this is relatively simple straightforward business. So, my question is, what can be other outcomes besides selling the whole business, because – I mean, it’s all a kind of stitched together. 
Todd Mitchell: I think that what we would like to do is, emphasize and possibly grow our higher margin ingredient business. I think there is a number of ways that we could do that. It doesn’t just mean selling off the entire business. I don’t know if that’s even selling off part of the business. So, I think we are looking at all of the opportunities that are out there for us. 
Paul Sonz: So, this would be sort of a reshuffling of the deck, where you might sell off California, but keep Mermentau and GR. I am just trying to get a sense of what the potential upside can be at this point? 
Todd Mitchell: At this point, I wouldn’t want to speculate on the outcomes. 
Paul Sonz: Right. Well, listen, thank you very much. Best of luck to you. 
Todd Mitchell: Thank you.  Operator Thank you. I would like to turn the floor over to Todd for closing comments. 
Todd Mitchell: Thank you, everybody. We look forward to getting back to you next quarter. If there is any updates in the interim, we will make sure that we stay in front of you. Thank you for your time. 
Operator: This concludes today's teleconference. You may now disconnect your lines at this time.